Operator: Good morning, and welcome to PACCAR's Third Quarter 2017 Earnings Conference Call. [Operator Instructions]. Today's call is being recorded, and if anyone has an objection, they should disconnect at this time. I would now like to introduce Mr. Ken Hastings, PACCAR's Director of Investor Relations. Mr. Hastings, please go ahead.
Ken Hastings: Good morning. We would like to welcome those listening by phone and those on the webcast. My name is Ken Hastings, PACCAR's Director of Investor Relations. And joining me this morning are Ron Armstrong, Chief Executive Officer; Harrie Schippers, Executive Vice President and Chief Financial Officer; and Michael Barkley, Senior Vice President and Controller. As with prior conference calls, we ask that any members of the media on the line participate in a listen-only mode. Certain information presented today will be forward-looking and involve risks and uncertainties, including general economic and competitive conditions, that may affect expected results. I would now like to introduce Ron Armstrong.
Ronald Armstrong: Good morning. PACCAR achieved excellent revenues and earnings for the third quarter of 2017. PACCAR's third quarter sales and Financial Services revenues were $5.1 billion, and third quarter net income was $403 million, a strong 8% after-tax return on revenues. PACCAR achieved excellent Truck, Parts and Other gross margins of 14.5%, driven by growing Kenworth and Peterbilt market share in North America, a robust European truck market and record aftermarket parts results. Kenworth and Peterbilt's year-to-date Class 8 market share in the U.S. and Canada was 30.1%, more than 2 percentage points higher than in the same period last year. DAF is currently producing trucks at record build rates in its Eindhoven factory. I'm very proud of our 25,000 employees who have delivered the world's highest quality trucks, parts and financial services to our customers worldwide. PACCAR delivered 40,200 trucks during the third quarter, 2% higher than the second quarter. Increased build rates in North America, Australia and Brazil were partially offset by fewer build days in Europe due to the regular summer shutdown. Next quarter, we're expecting 7% to 9% higher deliveries compared to the third quarter due to increased production in Europe. Deliveries will be slightly lower in North America due to regularly scheduled holidays. Truck, Parts and Other gross margins in the fourth quarter are forecast to be down slightly from the third quarter due to a higher mix of truck sales compared to parts. The U.S. economy is expanding 2% to 2.5% this year. We expect U.S. housing starts will grow to 1.2 million units, and the automotive industry will deliver nearly 17 million vehicles. We've raised our estimate of retail sales for this year's U.S. and Canadian Class 8 truck market to a range of 210,000 to 220,000 units. For 2018, economists are forecasting continued GDP growth of 2% to 3%, an increase in housing starts of 7% and another strong year of auto sales. Industrial production is also expected to expand 2% to 3% next year. We head toward 2018 with positive momentum in the U.S. economy and the truck industry. We estimate U.S. and Canadian Class 8 truck industry retail sales will increase to a range of 220,000 to 250,000 units in 2018. We've raised our 2017 forecast for Europe's greater than 16-tonne market to a range of 300,000 to 310,000 units, reflecting continued strong demand and a growing economy. The eurozone's GDP growth expectation for this year is 2.1%, with 2018 projected at a similar level. Freight transport activity on German highways is at record levels, up 4% this year. We expect that 2018 European heavy truck market to have another excellent year in a range of 280,000 to 310,000 units. PACCAR's Parts business generated record quarterly revenues of $840 million. Parts quarterly pretax income was a record $153 million, with an excellent pretax return on revenue of 18.2%. The growing number of PACCAR trucks and engines in operation and increased sales of TRP All Makes parts drove these results. We're pleased to have opened the 100th TRP store during the quarter. TRP stores expand PACCAR's aftermarket opportunity by selling more parts to the second and third owners of All Makes of trucks. PACCAR Financial Services third quarter pretax income increased 13% to $71 million compared to $63 million in the second quarter this year. The portfolio, which was a record $13.1 billion this quarter, continued to perform very well. U.S. Class 8 industry used truck sales volumes increased during the quarter. Kenworth and Peterbilt truck resale values continue to command a 10% to 20% premium over competitors' vehicles. PACCAR is increasing its investments in delivering new products and technologies as reflected in the recent introduction of the new PACCAR automated transmission, the new DAF XF and CF vocational trucks and new DAF LF vehicles. We estimate capital spending of $400 million to $450 million and R&D expenses of $260 million to $270 million this year. In 2018, we're planning for increased capital investments of $425 million to $475 million and increased R&D expenses of $270 million to $300 million. These investments will enhance PACCAR's integrated powertrain, deliver advanced driver assistance and truck connectivity technologies and add additional capacity and efficiency to the company's manufacturing and parts distribution facilities. To expand our technology and industry leadership, PACCAR is investing in technologies that may take several years to commercialize. A current example of our advanced driver assistance systems investments is a truck platooning trial that begins early next year in the U.K. PACCAR is also a leader in alternative powertrains. Kenworth and Peterbilt are market leaders in the North American natural gas truck segment, and we're currently testing electric powertrains in PACCAR trucks as well. While we think it will be some time before electric trucks become a sizable segment of annual industry sales, there could be an opportunity in certain applications in the medium term. PACCAR knows from experience that customers adopt technology when it provides a financial return for their businesses or is mandated by government regulations. Our focus is to always offer transportation solutions with industry-leading technologies that maximize our customers' operating efficiency. Thank you. I'd be pleased to answer your questions.
Operator: [Operator Instructions]. Your first question will come from the line of Jerry Revich of Goldman Sachs.
Jerry Revich: I'm wondering if you could talk about the expanded product lineup that you folks are delivering in Europe. How should we think about the production learning curve for you folks? Any productivity changes that we should be thinking about? And the overall margin profile of the product line as you ramp it through the factories, anything we should keep in mind for the sequential margin outlook?
Ronald Armstrong: No. The transition of production to the new CF, XF and soon the LF vehicles, that's all gone very well. So production ramp-up has gone without any challenges. And so we're moving into the next phase with the vocational trucks and getting ready to transition with the new LFs. So all that has gone very well. Yes, Harrie has some thoughts here. Just a second.
Harrie Schippers: The production started already in June. And like Ron said, the ramp-up had been pretty smooth. The trucks offer 7% better fuel economy and lots of other benefits for our customers and have been extremely well received.
Ronald Armstrong: Yes.
Jerry Revich: Okay. And normally, when you folks do a new product rollout, there's typically a higher level of automation. And is that the case here as well from a manhours-per-unit standpoint that we should keep in mind?
Ronald Armstrong: I think one of the great things that is just coming online is not necessarily tied to the launch of the new products, is the Westerlo cab paint shop, which does have the latest state-of-the-art paint robotic applications in the industry. So it's a fantastic plant. If you ever get a chance to go to Europe and visit DAF's facilities, that would be certainly be a stop because it does have state-of-the-art robotics and the quality and the finish of the products is great.
Jerry Revich: And Ron, at the end of your prepared remarks, you mentioned electric truck is coming into focus for select applications. Can you talk about how we should be thinking about the margin profile for you folks on electric trucks versus diesel-powered trucks? Anything we should keep in mind? And then from a parts standpoint, I guess there's concern about wider maintenance intervals. And I'm wondering how are you folks thinking about possible offsets. And appreciating that it's a small market subset where that product would make sense, but just conceptually, if you could touch on that.
Ronald Armstrong: Yes, Jerry. As I mentioned, I think that the commercialization of that is several years away, probably outside a reasonable planning window for any significant adoption. Battery packs are still very large, they're heavy, they're expensive. And so there's really -- while we need to be ready for that technology, the commercial viability of that has some ways to go. So I don't think that's going to be something that we're going to be factoring into thoughts about margins, et cetera, in the near term. I think it's a midterm technology that we'll see. And first, it will be in vehicles -- the smaller vehicles and vehicles that aren't in the mainstream like, say, port applications or refuse trucks, something like that.
Operator: Your next question will come from the line of Jamie Cook of Crédit Suisse.
Jamie Cook: I guess a couple of questions. You noted -- obviously, PACCAR historically has been -- is a company to sort of invest in technology for your customers. And you gave your R&D and CapEx outlook for '18. But given some of the changes in the truck industry, whether it's EV or platooning, autonomous, I mean, is that a potential headwind to margins, sort of like we shouldn't think about you guys being able -- in the near term or at least in the next 12 to 24 months delivering sort of what we would view as a normalized incremental margin? And then if you could talk to what that normalized incremental margin would be. And then I guess my second question is on just what you're seeing -- I think there's some concern going into '18 on whether or not the big fleets do come in and actually start to order. So can you just talk about, when you think about '18, will the customer base be big fleets? Will it be more broad-based, vocational, small guys, big guys? Just sort of what you're hearing from the customers in the U.S.?
Ronald Armstrong: Okay. Let's talk about technology. Obviously, we've just opened our office in Silicon Valley. And so we have a lot of relationships before we opened the office, and we'll continue to build relationships for future technologies in the areas of connectivity, advanced driver assistance systems, including autonomous, electrification. All those things are things that we're involved with currently and will continue to be involved with. I don't see that will impact -- we are projecting that our R&D spend will go up somewhat next year, but in terms of gross margins, I don't see that being a factor in the near term at all. With respect to customers, the feedback from discussions with customers is, I think, pretty optimistic about their prospects, what they're seeing in terms of demand and, more recently, some favorable freight pricing. So what we're hearing from customers is generally positive, at least orders as high as last year. I think it will continue to be dominated by the on-highway fleet guys, but vocational is very good. There's lots of construction in certain parts of the country. And if there is an infrastructure plan that gets implemented, that will bode well for the demand for vocational trucks as we start next year as well.
Jamie Cook: Okay. So just to be clear though, the investment will not impact -- we should think about normalized incremental margins for PACCAR going forward?
Ronald Armstrong: Yes.
Operator: Your next question will come from the line of Ross Gilardi of Bank of America Merrill Lynch.
Ross Gilardi: Just a couple of questions. First, just on the finco and how it relates to used truck prices. I mean, used pricing seems to be firming a little bit. Do you think that translates into higher new equipment pricing anytime soon? I mean, there seems to be a lot of competition on new products out there. Or do we just sort of meander around this flattish pricing environment for new trucks for a while?
Ronald Armstrong: What we've seen is relatively steady pricing. And at this market level, I think that's what we're anticipating from a pricing standpoint. You're correct about the used truck market there. Prices are firming. And I think most of our guys and the folks we talk with feel like that used truck prices have bottomed and are stabilizing and have some upside. On the used truck side, we're starting now to see more of our newer model trucks being returned off lease, so that's a positive sign that we'll see over the next 12 to 18 months.
Ross Gilardi: Got it. And then just on Parts, I mean, your longer-term growth rate, I think you would agree, is closer to kind of mid-single digits, maybe 6%. And you've clearly been running well ahead of that this year. Do you think you see a slowdown in 2018? Or does it feel like this above-trend growth in Parts will continue for at least a couple more quarters?
Ronald Armstrong: For now, we're thinking that next year is somewhere in the 3% to 5% range for Parts revenue growth for next year, but we'll see how it develops. Obviously, the demand is there. We're continuing to add dealer location. Our team has got great programs and really making it easier all the time for our dealers and customers to do business with PACCAR Parts. We're adding distribution capability. We're just starting the construction of a new facility in Toronto, and we'll continue to increment our distribution capability in the coming months and years. So we feel good about the prospects. And right now, 3% to 5% is our thinking about next year globally.
Operator: Your next question will come from the line of Stephen Volkmann of Jefferies.
Stephen Volkmann: Just can we go back to pricing for a second? I mean, I'm curious because, historically, once we get above sort of mid-cycle in the U.S., we start to think about maybe having a little bit of opportunity to get a little price. And I guess I'm just not sure with all the new products and the competition and so forth. Do we still think that's potentially possible? Or is that not so much on the table?
Ronald Armstrong: I think as we sit here today, I mean, it's a great product to offer, but we have competitors in the market. And so we're going to be able to earn what the customer is willing to pay. And so at this point, pricing feels like it's a pretty steady proposition in both Europe and North America.
Stephen Volkmann: Okay, good. And then I think you mentioned gross margin's down slightly in the fourth quarter. Historically, if you look back, the SG&A sort of kicks up a little bit in the fourth quarter. I guess there's some year-end true-up things or not. Should we expect that this year as well? Is there any trend there to call out just as we think about the fourth quarter?
Ronald Armstrong: I think we're pretty sort of focused on the dollars. And so I would think the dollars will be pretty comparable to third quarter levels. So I don't see any significant increase in the fourth quarter.
Operator: Your next question will come from the line of Ann Duignan of JPMorgan.
Ann Duignan: Can you talk a little bit about 2018, your guidance? Can you just break out maybe the segments, the sleeper segment versus the Class 8 straight versus day cabs? Anything different by any segment that you're anticipating for 2018 versus '17?
Ronald Armstrong: No, I'd say segment-wise, I think we anticipate similar mix of our sales to what we've seen in 2017, which is in Europe, DAF continues to be a industry leader in the tractor segment, continues to focus on growing their vocational volumes. And the new trucks that they've just launched will enhance their capability in that arena. And in North America, I think we anticipate that the growth in the market will come in really all segments, both the on-highway as well as some vocational. So I don't see any particular segment mix or customer mix sort of affecting our sales next year.
Ann Duignan: Okay. I appreciate the color. That's helpful. And then you forecast U.S., Canada. Any difference U.S. versus Canada? And then do you have an outlook for Mexico so we can kind of square back to NAFTA?
Ronald Armstrong: Yes. So I think if you look at this year, U.S. is probably flat to maybe a little bit down year-over-year, but Canada has bounced back. The Canadian market this year is stronger than it was in 2016. I think next year, I think, we expect the U.S. will be the area where a lot of the growth will occur for U.S. and Canada. And Mexico, it should be another good year in Mexico, expect the market to be comparable. Election years in Mexico sometimes have a little bit of an uptick because of some of the stimulus that gets added to the economy. So that could be a potential upside for Mexico next year.
Ann Duignan: Unless NAFTA is cancelled, I presume?
Ronald Armstrong: Excuse me?
Ann Duignan: Unless NAFTA is cancelled?
Ronald Armstrong: Yes. Yes, I don't have any perspective on that, and I don't think that makes any sense, but...
Ann Duignan: Agreed. And then just on your -- the same kind of mix discussion, U.K. registration is down significantly this past month. Any change in mix there? Any perceived market share loss for DAF? Just U.K. slows, it's a decent market for DAF. If you could comment on that for 2018, that would be great.
Ronald Armstrong: Yes. Harrie's got some thoughts on that.
Harrie Schippers: So Ann, if we look at the U.K. market for us, registrations year-to-date are exactly the same as they were last year. Market share is up 0.1%. We're above 30% market share, still continue to be market leaders in the U.K. And also orders year-to-date are at the same level as they were last year. So we haven't seen that softening in the U.K. that some people talked about.
Ann Duignan: So orders flat year-to-date despite just last month's anomaly, then registration is down 20%?
Harrie Schippers: Yes, it is flat. In the month of September, it was a little bit lower, but year-to-date, it's at the same level as it was last year. So September is always a big month with new license plates, so we got some fluctuations in that month typically. But year-to-date, we're at the same level.
Operator: Your next question will come from the line of Seth Weber of RBC Capital Markets.
Seth Weber: I guess a similar question to what Ann just asked. I'm trying to back into your 7% to 9% delivery growth sequentially 4Q versus 3Q. And it seems to imply a pretty strong ramp -- well, it does imply a strong ramp in Europe. I mean, are there market share gains that are embedded in that number for the fourth quarter versus the third quarter? I'm just trying to figure out how to get to that 7% to 9% growth sequentially.
Ronald Armstrong: Yes, Seth. The big thing is that DAF has a 2-week shutdown during the third quarter, and plus they're building on basically a single shift during a couple weeks before and after that shutdown period. And they're building about 1,000 trucks a week, so that really is the big, big element. And DAF has increased their production somewhat for the fourth quarter. So the combination of those is really -- the really big effect is the absence of the shutdown days from the third quarter.
Seth Weber: But it looks like it's going to be up year-over-year as well pretty nicely.
Ronald Armstrong: Yes, I think it will be. Probably 10% or so would be my guess.
Seth Weber: Right, okay. And is that share gains? I mean I don't think the market is up that much though, right?
Ronald Armstrong: Yes. So one of the things that has been beneficial for DAF is the fact that there's more sales this year outside of Europe, the European truck registration market. So you look at what we're selling into Russia, selling into the Indian region and South America, into Australia, into Africa, so all those things have supplemented DAF's build rate during the course of this year.
Seth Weber: Okay, that's helpful. I appreciate that. And then just a follow-up question. I think people are trying to kind of get at this, but maybe just coupling together some of the questions that have been asked about for next year for pricing and mix and whatnot, incremental margins. I mean, in this area where volumes are up next year, would you expect gross margin to be up next year?
Ronald Armstrong: Right now, I guess I would say I expect gross margin for next year to be comparable to what we're seeing in 2017 at the market size estimates we've provided. I would say that if you look at the build rates for DAF and Peterbilt and Kenworth where they're currently at, if those build rates were able to be sustained for all of next year, the markets would probably be at the upper end of our estimates that we've provided for 2018.
Seth Weber: Okay. So something in the kind of mid-14%, I think your...
Ronald Armstrong: Yes, mid-14%, yes, plus or minus.
Operator: Your next question will come from the line of Joel Tiss of BMO Capital Markets.
Joel Tiss: I wonder, maybe you can fuss it up for the whole industry. But is there expected to be another increment to fuel efficiency as we go into 2019?
Ronald Armstrong: Well, I think a big increase in fuel efficiency came with the engines that were launched this year. So DAF, 7% was a combination of fuel efficiency gains from the engine as well as aerodynamics of the enhanced vehicle features. And Peterbilt and Kenworth had a 4%, 5% increase at the beginning of this year with the model year '17 engine. So the next big increment, I think, will be in the 2020, 2021 time frame as we continue on the path of working on the 2021 greenhouse gas regulations. But there'll be ongoing increments each year as we have to get certified each year and we continue to make investments in the capability of our hardware. But even more importantly is the capability of our software. So we're investing a lot more in our company today in software capability, software development for engine programming, truck control units and the integration of all that into a solid system. So that's where you're going to see some of the gains in the coming years, is that continuous improvement in the integration of all elements of the truck and the powertrain.
Joel Tiss: And then your market share of orders seems to be running noticeably ahead of your reported market share, your market share of deliveries. And I guess that's not enough to get you to be a little closer to where kind of industry forecasts are for 2018. Do you still think it's prudent to be on the conservative side?
Ronald Armstrong: Yes. I think we're reasonably conservative at this point. And we haven't started the year and we're trying to predict what next year is going to be. I think we feel confident it will be a better year. And we'll see, as the year goes on, how it progresses.
Operator: Your next question will come from the line of Nicole DeBlase of Deutsche Bank.
Nicole DeBlase: So my first question is just around Brazil, what you're seeing there and I guess the expectation for that region as we move into 2018.
Ronald Armstrong: Well, our team was just at the Fenatran truck show last week. And I would say the optimism of the industry and our team is good as we enter 2018. We've seen an increased quoting activity in the market. We've increased our build rates as we've progressed through this year, and we'll start next year at even higher build rates. So the market is recovering. We just launched a new truck for heavy haul applications in agricultural industry. And so that is going to give us some additional product capability in the market. So we're pretty bullish about what the near term looks like for Brazil in terms of being on the road to recovery and taking advantage of that and continuing to grow our share in that market.
Nicole DeBlase: Okay. That's helpful. And then just thinking about material costs. How much of a headwind was that to your truck margins this quarter? And how do you think about the headwind to material costs into next year since commodity costs have continued to move higher?
Ronald Armstrong: Yes. It's been a bit of a headwind. Last year, we enjoyed some benefits, a bit of a tailwind, if you will. And this year has been a bit of a headwind. But I see next year -- again, it's not a significant effect. We do have the long-term agreements with our customers -- our suppliers, excuse me, that allow us to work those in ratably and work those into our pricing into the market. So I don't see it being a significant item as we go into next year.
Operator: Your next question will come from the line of Andy Casey of Wells Fargo Securities.
Andrew Casey: Can you talk about the engine penetration in North America? Did that remain stable? Or did it improve?
Ronald Armstrong: It's actually down just slightly. And when you compare our penetration this year to last year, we offer our customers the PACCAR option and the Cummins option. Cummins is a great, great partner of ours. And so it really depends a lot on who's ordering at a particular given time, but we continue to enjoy great success with the engine. It's very well received by the customers, and we continue to work on getting increased penetration. So I'd say just down slightly a little bit this year compared to last year.
Andrew Casey: Okay. And then within the Financial Services segment, provisions appeared to come down a little bit sequentially, and that's good. I'm just wondering what drove the improvement. And was there any regional concentration behind that?
Ronald Armstrong: Andy, that portfolio is performing great and has for really post 2010. And so any movement in those provisions typically has to do with the amount of the assets that we have. But the amount of actual credit losses that we're seeing are pretty isolated. And there's no indication that the customers' ability to pay is going to be affected anytime soon with pretty robust transportation markets in all the markets where we're doing financing at this point.
Andrew Casey: Okay, Ron. And then just an industry question specific to North America. I'm just wondering if you've seen any irrational price discounting going on given one of your competitors has a stated goal of trying to recover some share that they've lost over the years.
Ronald Armstrong: No, I don't think we've seen that. We've been able to -- we have a great value proposition for our customers' with our products, with the aftermarket support that we provide, with parts and really supporting the uptime of our customers, great financing product. So I think the total package -- I mean we still are able to earn a premium with the quality of all the things that we provide our customers. So we've not seen anything -- there's always the isolated instance or isolated deal or somebody may do something that you scratch your head about, but that's no general trend.
Operator: Your next question will come from the line of David Raso of Evercore ISI.
David Raso: Quick question. I know you don't run the company for the stock, and the stock kind of broke out of that 60s range. Now we're in the 70s. But I am trying to reconcile -- are we saying next year there's no operating leverage? I'm just trying to reconcile -- look, obviously, with the earnings power here, the idea is, as we get a little further in the cycle, you get some price-cost to your benefit, you get some leverage and we can be talking about $5 of earnings next year, on its way to maybe $5.50-plus. But when there's no operating leverage, that puts a lot of pressure on the U.S., Canadian market, just given the European market is at a high historical level. And I'm just trying to make sure we leave this call understanding you're comfortable saying next year gross margins are similar to this year. I mean, why is there no operating leverage in the model at all? Is it again costs going up for technology and so forth? Just so we're on the same page. I'm a little disappointed that your gross margin's similar next year to this year.
Ronald Armstrong: Yes. I think that's our current assessment. I mean, there's obviously some upside potential as we progress through the year. We'll see how that develops. So right now, we're thinking 14.5%, plus or minus, from there. And so the factories -- we've made some great investments. The factories are operating very efficiently. And we'll see how pricing develops during the course of the year. So I think somewhere between that 14% to 15% range is sort of where we think things will develop as we progress.
David Raso: I mean, given the lead times and so forth. And look I appreciate competitive dynamics. But in your backlog today, how far does your U.S., Canadian business project out orders already on hand? How many months into next year? And is the pricing better in that backlog than we were shipping over the last, say, 6 months?
Ronald Armstrong: No. Typically, the extended backlog is longer-term buyers, fleet buyers. And so what fills in, in the shorter term is the stocking trucks, the smaller customers. And the margins in the backlog are generally consistent with what we're building currently.
Operator: Your next question will come from the line of David Leiker of Robert W. Baird.
David Leiker: A couple of things. I had another gross profit margin question but a little bit different. You made some comments early on about the -- I believe it's about the gross profit margin in Q3. I'm just curious with the revenue gains -- and maybe this is tied to what David was just saying, with the revenue gains you saw in this quarter, that didn't really drive any gross margin profit improvement.
Ronald Armstrong: So you're talking about compared to the third quarter of last year?
David Leiker: Last year, yes. Revenues are up 20%, and gross profit's down 20 basis points.
Ronald Armstrong: Yes. So I think there, you've got the higher mix of trucks. You do have a bit of material cost headwind, and we continue to see some of the currency impacts with the British pound versus the euro and the Mexican peso. So those are just things that impact the margins, but we continue to work through those. And the opportunities for us to continue to grow the business, continue to generate good returns for our shareholders, we see those as -- continue to be consistent with what we've achieved in the past with respect to incremental margin.
David Leiker: Yes. I knew you mentioned it earlier. I've missed it so thanks for catching me up on that. On the aftermarket, with the TRP brand, obviously, you're growing faster there than what the market's growing. Where do you think those share gains are coming from?
Ronald Armstrong: I would guess they're coming from warehouse distributors, would be where I would think we get most of our upside with our TRP brand and the ability to service and have greater access to second and third owners of really All Makes of trucks.
David Leiker: And do you think those are coming from other private labels or from branded products?
Ronald Armstrong: I mean, obviously, whatever the warehouse distributor -- they're distributing, there are some private labels and vendor stuff. And so we're getting better access to that customer base than what we've had previously when you're just going through the Peterbilt or Kenworth or DAF dealer network.
David Leiker: Yes. And then just one last here. Thanks for the insight into next year. We've had a pretty strong market here or pretty high volumes. Do you have any -- what are the signs? What are you watching, the signposts that this market's getting too long in the tooth and you start to batten down a little bit and hunker down for tough times ahead? What are those signs that you'd be looking for?
Ronald Armstrong: Well, I mean, just ongoing discussions with customers, with dealers and order activity is the sign that tells us how things are going. And so order activity is aligned with the market estimates that we've provided.
Operator: Your next question will come from the line of Steven Fisher of UBS.
Steven Fisher: Could you just give us some color on levels of used inventories on the PACCAR lots or stores that were opened in last year or so to deal with the excess used inventories that we're starting to build up?
Ronald Armstrong: Yes. So our used truck inventory has declined progressively throughout this year. And so as we end the third quarter, we're at our lowest level of used trucks that we've had. So we're well positioned with a good level of inventory to sell into the market, both out of our retail sales locations as well as through our dealers. So we're right where we feel we need to be with respect to used truck inventories.
Steven Fisher: Okay, great. And then can you just talk some more about the mix in parts margin this quarter? I would have thought that the margins would have been helped by the volumes that you had. I don't know if there's any particular drag from opening more stores and if you get a better margin once you have that expansion.
Ronald Armstrong: No, I think it's typically -- parts margins are typically driven by the mix of the product lines that we might sell during any given period, so proprietary versus vendor versus TRP versus PACCAR genuine. So there's lots of different levels of parts. And typically, the margin movement is affected more by mix than sales prices or material cost movement.
Steven Fisher: So how is your mix this quarter relative to what it's been?
Ronald Armstrong: I don't have those figures in front of me, I'm sorry.
Operator: Your next question will come from the line of Rob Wertheimer of Melius Research.
Robert Wertheimer: I had a question. I mean, I kind of agree with all your sentiments on the time frame on electrification of trucks, which obviously is going to take a number of years. I'm curious what your customers are telling you. As you're going out there and doing research and figuring out how urgently you need to think about developing products or whatever, are there segments -- I mean, is it only medium-duty customers that are interested? Or is it only ports where you've got restriction, obviously restrictions on emissions? Do you think that the long-haul stuff makes little sense to me, but maybe you're hearing it from them. So I'm just curious what portion of your customers in various segments are really interested in the developments?
Ronald Armstrong: I think all segments are interested. But I think when you look at the economic reality, the smaller the vehicle, the more likely that technology has application. So it's just going to be a while. There needs to be a breakthrough in battery technology for that really to be commercially viable for -- the higher up you go in the truck market. So I think everybody is interested. Everybody wants to know what we're doing, and we've got a lot of things that we're exploring. But the economic viability, as it stands today, like I say, it's more midterm than it is near term.
Robert Wertheimer: Okay. And then could you give a quick update on Russia, which has been boom and bust and where you've had success in previous years?
Ronald Armstrong: Good market. This year, DAF has been able to increase its share up on the 15% range from 11% or 12% in some of the prior years. We have good dealer representation, good support for the product. So it's a good market and one that we're taking advantage of as it currently sits.
Robert Wertheimer: Does that need -- I mean, it's been so volatile. I mean does that -- could that stay high for another 2, 3 years? Or is there any signs of saturation? And maybe more broadly in Europe on used trucks or the flow of used trucks or however you guys measure it, because the trade cycles are a little bit different, does it still look healthy, not just orders but the -- those Eastern markets where some of the trucks go?
Harrie Schippers: A market like Russia is a lot stronger this year than it was last year. Historically, it's still at pretty low level. It's not back to the levels where it was several years ago. And it's a market for Euro 5 trucks. Our DAF trucks performed very well there. The customers liked the quality, the fuel efficiency, and our share has grown from -- to a level of around 15% year-to-date in that market. So really, really good story there for DAF in Russia.
Robert Wertheimer: Great. And any comment at all on just how you think about, I guess it was asked before, cycle indicators on used trucks in Europe, whether we can stay up here at these levels for a while longer, whether there's any hint of saturation in trucks being absorbed by the second buyers wherever they are?
Ronald Armstrong: I mean, used truck market is pretty steady, I guess I'd say. Again, one of the positive aspects that DAF and PACCAR Financial in Europe will experience is the fact that starting next year and on for the coming years, that there'll be more and more of the Euro 6 product that will be coming back off lease, coming in on trades. And we'll have the newer models to sell in the used truck market. So overall demand at this point and pricing seems to be pretty steady.
Operator: Your next question will come from the line of Mike Baudendistel of Stifel.
Michael Baudendistel: With regard to your outlook for North America in 2018 and beyond, how do your thoughts on electronic logging device mandate play into that?
Ronald Armstrong: At this point, it's a lot more talk than there is actual impact, what we're seeing in the market. So that obviously goes into play in December. And so we'll see how it develops. But right now, it doesn't feel like it's a significant element in truck orders and truck buying decisions.
Michael Baudendistel: Great. That's helpful. And then just one on Europe. It looks like the bottom end of your range for next year is below this year. I mean, it didn't seem like you've said anything that's negative about Europe so far in this call. I mean, what areas could concern you that could make Europe be down next year?
Ronald Armstrong: There's no real areas of concern. I'd say, at this point, that the bottom end of our range is conservatism. As I mentioned previously, if we continued with our build rates as they currently sit at DAF and Peterbilt and Kenworth, the markets would be at the upper end of our estimate. So the lower end just really reflects some conservatism.
Operator: Your next question will come from the line of Neil Frohnapple of Buckingham Research.
Neil Frohnapple: I think there was an earlier question on SG&A for the fourth quarter. But can you provide any granularity on the SG&A expense outlook for 2018 like you guys have done for R&D?
Ronald Armstrong: I think if you look at the -- probably the second half run rate for SG&A, some of the effect in the second half has been there's just some little stronger currencies with respect to the euro, et cetera. So I think if you look at the second half run rate of SG&A, that's probably indicative of what we would expect for full year 2018 in terms of absolute dollars.
Neil Frohnapple: Got it, okay. And then could you talk about what drove the acceleration of PACCAR Financial Services revenue growth in the quarter? And I guess as a follow-up to that, is that also good run rate views for 4Q and 2018?
Ronald Armstrong: So the revenue is just we have a bit of an increasing interest rate environment, we have higher assets and we had the higher mix of operating leases in our portfolio. So there's several things that impact that. As we think about next year, right now, we anticipate that the portfolio will continue to perform well, that our customers will have good economic conditions in which to operate. And so credit losses will continue to be muted. Used truck values seem to have stabilized, and so I don't think we'll see any challenges on the used truck side. So as it sits here today, we feel good about our prospects for 2018 in the Financial Services arena .
Operator: And you have a follow-up question from the line of Steven Fisher of UBS.
Steven Fisher: Just wanted to clarify one thing. Would your operating leverage be more evident at the gross profit level or at the pretax profit level?
Ronald Armstrong: Probably at the pretax profit level because we sort of manage our R&D and SG&A more to a fixed cost.
Steven Fisher: Right. So to kind of frame it as there's no operating leverage in the model as we think about next year, maybe more appropriate to think about the pretax level no matter how much fixed costs you have in your gross profit, but ...
Ronald Armstrong: It's going to depend on how the year progresses and how material costs develop. And we're well positioned. And at this point, again, I think margins would be in that 14% to 15%. And whether they're at the upper end or lower end of that range depends on a lot of factors that are to be determined.
Operator: There are no other questions in the queue at this time. Are there any additional remarks from the company?
Ronald Armstrong: We'd like to thank everyone for their participation, and thank you, operator.
Operator: Ladies and gentlemen, this concludes PACCAR's earnings call. Thank you for participating. You may now disconnect.